Operator: Good morning, everyone and welcome to Grupo Televisa’s First Quarter 2025 Conference Call. Before we begin, I would like to draw your attention to the press release, which explains the use of forward-looking statements and applies to everything we discuss in today’s call and in the earnings release. I will now turn the call over to Mr. Alfonso de Angoitia, Co-Chief Executive Officer of Grupo Televisa. Please go ahead, sir.
Alfonso de Angoitia: Thank you, Elsa. Good morning, everyone, and thank you for joining us. With me today are Francisco Valim, CEO of Cable and Sky; and Carlos Phillips, CFO of Grupo Televisa. Before discussing our first quarter operating and financial performance, let me remind you of the strategic priorities approved by the Board of Directors of Grupo Televisa and TelevisaUnivision that we will pursue this year. At Grupo Televisa, we will continue to focus on attracting and retaining value customers to stabilize and potentially grow our internet subscriber base sequentially throughout this year, execute on the implementation of OpEx and CapEx efficiencies and conclude the integration between EC and Sky to extract further synergies. This has already contributed to expanding our consolidated operating segment income margin by around 100 basis points in the first quarter, driven by a year-on-year OpEx reduction of around 8% and we would expect this profitability improvement to remain over the coming quarters. And at TelevisaUnivision, now that our direct-to-consumer business, ViX has gained scale and achieved profitability, we are confident that additional value can be unlocked through further integration, optimization and unification of both our content business and geographies. Despite some challenges and top line pressure, TelevisaUnivision’s first quarter operating performance reflected the underlying strength of our content engine and continued scaling of ViX. The proactive realignment and optimization of our cost base started at the end of 2024 and our DTC profitability more than offset these headwinds and contributed to adjusted EBITDA growth of 5% year-on-year during the first quarter. Having said that let me turn the call over to Valim as he will discuss the operating and financial performance of our consolidated assets.
Francisco Valim: Thank you, Alfonso. Good morning, everyone. First, let me walk you through the operating and financial performance of our cable operations. We ended March with a network of 19.9 million homes after passing around 13,000 new homes during the quarter. In the first quarter, our monthly churn rate remained in line with our historical average of 2% as we kept executing on our strategy to focus on value customers rather than volume, while working on customer retention and satisfaction. Our broadband gross adds improved considerably on a sequential basis, allowing us to deliver disconnections of only around 6,000 subscribers during the first quarter compared to a loss of 85,000 in the fourth quarter of last year. Regarding video, we also experienced stronger gross adds than in the fourth quarter of last year. Therefore, we lost about 73,000 video subscribers in the first quarter compared to the 95,000 disconnections in the fourth quarter of 2024. Of note, our mobile net adds were solid at 36,000 subscribers during the first quarter compared to a full year net adds of 26,000 in 2024. We were able to achieve this because late last year, we re-launched a new and innovative MVNO service developed by ZTE, offering enhanced user experience. We are confident that this new service will make our bundles more competitive while allowing us to increase the share of wallet from our existing customers. During the quarter, net revenue from our residential operations of MXN10.5 billion which accounted for around 91% of total cable revenue, decreased by 3% year-on-year, mainly because we lost some revenue given the cancellation of the Afizzionados video package during the second quarter of 2024 and as we had a slightly lower subscriber base. Net revenue from our enterprise operations of MXN1 billion, which accounted for around 9% of total cable revenue, declined by 4.5% year-on-year as in the first quarter of 2024, we are concluding an important government contract, which translated into higher revenue streams. Moving on to Sky’s operating and financial performance. During the first quarter, we lost 331,000 revenue-generating units, mostly coming from prepaid subscribers that had not been recharging their services. Sky first quarter revenue of MXN2.5 billion fell by 13.2% year-on-year, mainly driven by a lower subscriber base. To sum up, segment revenue of MXN15.1 billion fell by 5.7% year-on-year, while operating segment income of MXN5.7 billion declined by 3.1%. Our operating segment income margin of 37.8% expanded by 100 basis points year-on-year, mainly driven by the efficiency measures that we have been implementing and synergies from the ongoing integration between Izzi and Sky. On a sequential basis, our operating segment income for the first quarter already marked a turning point as it increased by 1.6% quarter-on-quarter, while our operating segment income margin expanded by 180 basis points. Regarding CapEx deployment our total investment of MXN1.8 billion during the first quarter fell by around 13% year-on-year. So our CapEx-to-sales ratio of 11.8% was around 100 basis points lower than that of the first quarter of 2024. Finally, operating cash flow of Cable and Sky, which is equivalent to EBITDA minus CapEx, was MXN3.9 billion in the first quarter, increasing by 2% year-on-year and accounting for 26% of sales. This basically means that our operating cash flow margin increased by 200 basis points year-on-year.
Alfonso de Angoitia: Thank you, Valim. Now let me walk you through TelevisaUnivision’s first quarter results released last week. The company’s first quarter revenue of $1 billion declined by 11% year-on-year while adjusted EBITDA of $345 million increased by 5%. Excluding the impact from the depreciation of the Mexican peso, TelevisaUnivision’s first quarter revenue decreased by 6% year-on-year due to the absence of the prior year’s broadcast of the Super Bowl in the U.S. and the impact of the renewal cycle with key distribution partners in Mexico. On the other hand, adjusted EBITDA increased by 10% year-on-year, reflecting margin expansion driven by the operational optimization plan we implemented in December of last year and continued DTC profitability. Moving on to the details of our revenue performance during the quarter. Consolidated advertising revenue decreased by 13% year-on-year or 3%, excluding the Super Bowl in the U.S. and the FX impact. In the U.S., advertising revenue was 11% lower as growth in DTC advertising revenue was offset by linear softness and the absence of the prior year’s broadcast of the Super Bowl. Excluding the Super Bowl, U.S. advertising revenue declined by 6%. In Mexico, advertising revenue declined by 16% year-on-year, driven by the depreciation of the Mexican peso. FX neutral advertising revenue in Mexico increased by 1%, reflecting private sector growth across both linear and DTC and the strong performance of sports content, including Liga MX and the Super Bowl. During the quarter, consolidated subscription and licensing revenue fell by 7% year-on-year, but grew 1% excluding the FX impact and the previously mentioned distribution renewal cycle in Mexico. In the U.S. subscription and licensing revenue increased by 5%, driven by ViX’s premium tier. In Mexico, subscription and licensing revenue fell by 36%, mainly due to the distribution renewal cycle and the depreciation of the Mexican peso. FX-neutral subscription and licensing revenue in Mexico decreased by 26%, partially supported by the subscription growth in ViX’s premium tier. Turning to ViX. We delivered another quarter of solid growth and profitability and reinforced the strength of our DTC strategy. Our advertising video-on-demand tier continued to scale with double digit growth in reach relative to last year. At the same time, our subscription video-on-demand tier also achieved double digit subscriber growth even after a recent price increase in the U.S., underscoring the value of our unique offering. All in all, ViX remains well positioned, delivering consistent performance across key metrics while reinforcing our leadership in Spanish language streaming. Finally, at the end of the first quarter, TelevisaUnivision’s leverage ratio was 5.8x EBITDA compared to 5.9x by the end of 2024 due to a combination of free cash flow generation and EBITDA growth. Moving on, let me remind you that on March 18, we used part of the free cash flow generated last year by Grupo Televisa to pay the remaining $219 million principal amount of our senior notes maturing this year. This payment was hedged at an exchange rate of MXN17.8 per dollar. Moreover, at the end of the first quarter, Grupo Televisa’s leverage ratio of 2.4x EBITDA compared to 2.5x by the end of 2024 due to our free cash flow generation of around MXN2.2 billion during the quarter. To wrap up, Bernardo and I are confident that our focus on value customers, efficiencies and ongoing integration between Izzi and Sky at Grupo Televisa and further integration and operational optimization at TelevisaUnivision now that our DTC business has gained scale and achieved profitability will allow us to create greater value for our shareholders throughout this year. Now we are ready to take your questions. Operator, can you please provide us with instructions for the Q&A?
Operator: [Operator Instructions] The first question comes from Lizia [indiscernible] with JPMorgan. Please go ahead.
Unidentified Analyst: Hi. Good morning. Thank you for taking my questions. I have two from my side. First, we saw an improvement in margins. Can you give us some color on how much more we could see in expansions coming from these ongoing efficiencies? That would be great. And the second one, if you could give us some color on the guidance of 1 million homes passed for fiber in 2025. How should be this curve given the first quarter? Is there a risk of downside revision following the low number of homes passed? And can you give us an update on your CapEx budget for the year? That’s it from my side. Thank you.
Alfonso de Angoitia: Thank you, Lizia. Valim, can you answer this question?
Francisco Valim: Sure, Alfonso. Lizia, I think that the first question is we are still finalizing some synergies with Sky. But we have a constant effort on margin improvement. So, obviously we are not forecasting further increments, but we are always focusing on improving margins. And that’s a recurring theme amongst ourselves. Regarding the 1 million homes passed, typically the first quarter is a slow quarter. But by the end of the year, we should reach our target. In terms of our CapEx budget, we are in the $665 million. We should not deviate much from that in any way. So, you should anticipate us doing that. Obviously, like I said, the first quarter is a little slower, so there is seasonality. And obviously, the last quarter tends to be the heaviest one in terms of CapEx deployment.
Unidentified Analyst: Thank you very much.
Operator: Our next question is from Carlos Legarreta with Itau. Please go ahead.
Carlos Legarreta: Thank you, gentlemen. Good morning and thank you for taking the question. I have two on my end. The first one is I wanted to hear your thoughts on cash allocation at this point in time, particularly it seems like reactivating buyback activity could be interesting. And the second one, I just wanted to hear your thoughts on the recent downgrade by Moody’s of TelevisaUnivision’s debt rating, also will be interested in your thoughts. Thank you.
Alfonso de Angoitia: Thank you, Carlos. I will take the second one and then I will ask Carlos Phillips to take the first one. As to the Moody’s rating downgrade, I can say that as you could see, since the end of last year of 2024, we have been implementing OpEx efficiencies at TelevisaUnivision and that is to grow EBITDA this year and reduce leverage despite the expected headwinds to grow revenue. You can see this that, I mean during the first quarter, as we managed to grow TelevisaUnivision’s EBITDA by 5% year-on-year. And this is despite the revenue decline of 11%. We also managed to reduce leverage from 5.9x EBITDA by the end of last year to 5.8x by the end of the first quarter. So, in the remainder of 2025, we will continue to focus on implementing efficiencies and we are trying to grow full year EBITDA, generate free cash flow and our priority is to keep reducing our leverage ratio. If you read Moody’s report, unfortunately, it appears that they are concerned with the slowing economic growth in the U.S. for 2025. And this, as you read there, it’s triggered by the potential implementation of tariffs and Mexico’s relatively weak economic environment. And they have adopted a more cautious view with regard to our advertising business and as a result, downgraded TelevisaUnivision’s credit ratings. But I mean we see, I mean a better scenario than they do, but that’s what I can tell you about the downgrade. And Carlos can take your first question.
Carlos Phillips: Hi Carlos. In terms of your question about cash flow, we – this year, we expect to deliver another year of positive cash flow. However, you have to consider that as Valim and the team have mentioned, we are going to have higher CapEx requirements compared to last year. And in terms of the use of the free cash flow, as we have mentioned in previous calls, our number one priority is to pay down debt. As you saw during the quarter, we paid down our 2025 bond maturity, which was around $219 million. As we mentioned in the past, we had hedged that into peso exposure at a pretty attractive rate. It was 17.8 FX. And we expect to continue doing the same. Our leverage fell from 2.5 to 2.4 this quarter. We want to continue strengthening our leverage position and also continue to have a very conservative liquidity position. As we have mentioned before, the idea here is to maintain our investment-grade ratings. We are very committed to that.
Carlos Legarreta: Thank you both for your comments.
Operator: Our next question comes from Gustavo Farias with UBS. Please go ahead.
Gustavo Farias: Hi everyone. Thanks for taking the questions, also two from my end. So, the first one, we have seen some lower broadband and video disconnections. So, I would like to hear your thoughts on what to expect throughout the year? And what are you seeing in terms of overall competition and pricing environment for broadband specifically? And the second one, if you could comment your thoughts around all the new regulation that’s going on in Mexico, especially regarding maybe possible restrictions on foreign advertising, maybe impacts that, if any you foresee for TelevisaUnivision, it would be very helpful. Thank you.
Alfonso de Angoitia: Francisco will answer your first question and I will take the second one.
Francisco Valim: So, Gustavo, the idea is here, we think this is a mature market, a very rational market, if you ask me. You see competitors behaving rationally. There are not significant discounts in price. And in a mature market, if you try to add a lot of gross adds, you end up having a higher churn as well. So, the way we approach this is we think this market, we need to grow between 350,000, 400,000 new gross adds per quarter and have a smaller number than that in terms of cancellations. So, that’s the way we see this moving forward and that we have done obviously many things in terms of churn reduction and also how to acquire customers that are of better quality because we think that’s the way moving forward. We have a very robust and reliable subscriber base and we are working very hard to maintain that subscriber base in the long run. And so the gross adds minus the churn is mostly driven by new acquisitions as opposed to the more longer term subscribers. So, you shouldn’t – that’s the way we see this moving forward and quarter-after-quarter, starting with the second quarter, if I may add.
Alfonso de Angoitia: And Gustavo, to your first question – or second question, I am sorry, we are still analyzing the proposed telecommunications reform. As far as we understand, it will be open for discussion with the industry players before being approved at the lower house. Once we have a clearer view on the proposal, we will be in better shape to share with you our thoughts. Also, as we currently understand it, limitations on advertising in Mexico are related to foreign governments buying advertising on television and other media. We are in full agreement with that change. It doesn’t represent anything material for us in Mexico.
Gustavo Farias: Thank you all.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Mr. de Angoitia for any closing remarks.
Alfonso de Angoitia: Thank you very much. Thank you for participating in the call and we are here to answer any questions that you may have. So, give us a call. Thank you very much. Bye.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.